Operator: A very good day to you ladies and gentlemen, and welcome to the Quarter 1 2013 Huntsman Corporation Earnings Conference Call. My name is Moncy, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to hand the call over to Kurt Ogden, Vice President, Investor Relations. Please go ahead.
Kurt D. Ogden: Thank you, Moncy, and good morning everyone. Welcome to Huntsman's First Quarter 2013 Earnings Call. Joining us on the call today are Jon Huntsman, our Founder and Executive Chairman; Peter Huntsman, President and CEO; and Kimo Esplin, Executive Vice President and CFO. This morning, before the market opened, we released our earnings for the first quarter 2013 via press release and posted it on our website, huntsman.com. We also posted a set of slides on our website, which we intend to use on the call this morning in the discussion of our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements. And while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the Securities and Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. In addition, we also refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income or loss. You can find the reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted on our website at huntsman.com. Beginning in 2013, we began to exclude the amortization of actuarial gains and losses associated with pension and postretirement benefits from our adjusted earnings measures. This amortization comes from changes in actuarial assumptions and the difference between actual and expected returns on plan assets and not from our normal operations. This reflects the adjusted EBITDA that would be reported if we adopted a mark-to-market pension accounting method. We believe removing these gains and losses provides management and investors greater transparency into the operational results of our businesses and enhances period-over-period comparability. Amounts for prior periods have been recast to reflect this change. A historical schedule of adjusted EBITDA can be found in our earnings release published this morning. Let's turn to some highlights on Slide #2. In our earnings release this morning, we reported first quarter 2013 revenue of $2.702 billion; adjusted EBITDA of $220 million; and adjusted earnings per share of $0.19 per diluted share. I will now turn call over to Peter Huntsman, our President and CEO.
Peter R. Huntsman: Thank you, Kurt. Good morning, everyone. Thank you for taking the time to join us. Let's turn to Slide #3. Adjusted EBITDA for our Polyurethanes division in the first quarter of 2013 was $178 million. We saw a meaningful earnings improvement in our MDI Urethanes business compared to the prior year. This was offset by lower PO/MTBE earnings, which benefited the first quarter of 2012 by approximately $60 million from industry supply outages. In the first quarter of 2013, we successfully raised our MDI selling prices and we're able to offset the increase in raw material costs. The cost of our largest raw material, benzene, increased in the first quarter by approximately 20% compared to the prior year. We saw strong growth and demand for our MDI urethanes in the Asia Pacific and North American regions. Our largest markets in the Asia Pacific region are insulation, adhesives, coatings and elastomers and automotive. We saw a double-digit growth in these markets primarily as a result of more demanding energy codes for building construction favoring MDI and strong Chinese automotive demand. In the Americas, we're seeing signs of a continued recovery in housing and construction. Our largest market, composite wood products, grew at double-digit rates. In the European region, we saw soft demand in Northern Europe for the first time since the European financial crisis. Some of this is seasonal due to the prolonged cold winter negatively impacting our largest market, construction, insulation. We also felt the impact of lower European automotive demand. We booked blend propylene oxide-based polyols with MDI to create specific polyurethanes system solutions for our customers. In the U.S., we manufacture our own propylene oxide. MTBE is the byproduct of our manufacturing process. Lower-priced butane in 2013 partially offset the decrease in average selling prices that resulted from industry supply outages last year. This past week, we were forced to declare force majeure in Europe on the supply of certain grades of pure and variant MDI products. The situation was caused by a lack of critical raw material supply and offtake from our MDI facility in Rotterdam, the Netherlands. We estimate the EBITDA impact on the second quarter 2013 to be approximately $15 million. As of this morning, our operations appear to be in better shape than last week. Barring any supply chain disruption, we hope to return to normal operations in the next 2 to 3 weeks. Turning to Slide #4. In the first quarter, our Performance Product division earned $54 million of adjusted EBITDA. During the first quarter of 2013, we successfully completed planned maintenance on our olefins and ethylene oxide facilities in Port Neches, Texas. This maintenance occurs once every 4 years. The total estimated impact on the quarter was approximately $55 million. We saw strong demand for amines in the first quarter of this year. We successfully implemented recent price increases for amines and are encouraged by the trends for these product. We also saw a strong improvement in contribution margins for our maleic anhydride businesses, which benefited from the lower cost of butane and improved sales mix. Turning to Slide #5. Adjusted EBITDA in the first quarter in our Advanced Materials division was $27 million. Globally, we continue to see weak demand in our base epoxy resins businesses which represent 20% of the division's revenues. In addition, soft underlying demand has extended across most of our product categories in the European region. However, we are seeing some bright spots within this business. Notably, demand in the Americas and Europe for our multifunctional resins used in the aerospace industry continues to grow nicely and show strength. Also, in our Asia Pacific region, we are seeing attractive growth for electrical engineering products and industrial adhesives used by manufacturers of tankers and ships. In January of this year, we announced a program designed to improve efficiencies and increase our global competitiveness in this division. We expect the program to be completed by the middle of 2014, with future annual benefits of approximately $70 million. We're on track of delivering these savings. Let's turn to Slide #6. Our Textile Effects division reported an adjusted EBITDA loss of $3 million in the first quarter. This is an improvement of $5 million compared to the prior year. An intense focus on key markets has contributed or has continued to generate year-over-year growth through share gains despite muted market conditions. In the first quarter, volumes in key markets grew 12% compared to the prior year, with our Asia business growing at 14%. Production output at one of our facilities was significantly lower than the early part of the first quarter of this year as a result of an upgrade operational systems migration. In addition, production output at 2 other facilities was impacted by key raw material shortages for several weeks. Both of these situations have been successfully resolved. We estimate the EBITDA impact to be approximately $3 million for the quarter. Our restructuring efforts are proceeding slightly ahead of plan. The benefits of the restructuring are evident in our fixed cost, which decreased $13 million compared to the prior year. Most of the expected $75 million in annual restructuring benefits are yet to come. Let's turn to Slide #7. Our Pigments division earned $9 million of adjusted EBITDA for the first quarter. We are seeing signs of demand recovery from the low point experienced in the previous quarter. Our sales volumes were flat compared to the prior year and improved 27% compared to the fourth quarter. We believe global demand trends for the industry have improved as well. During the quarter, we further scaled back our production. At the end of the quarter, we had approximately 45 days of inventory. We believe the industry has closer to 75 days. This is quite an improvement from the end of the year when our inventory was approximately 75 days and the industry was at approximately 100 days. The impact of running our plants at lower production rates negatively impacted our EBITDA by approximately $12 million in the quarter. Our average selling price decreased 11% in local currency terms compared to the prior quarter. However, we are starting to see pricing stability as a result of lower pigment inventories and our announced price increases. We are encouraged by global demand trends for TiO2 and expect margins to improve in the second half of the year. We believe 2014 is setting up to be at or above our EBITDA normalized run rate of approximately $200 million. Before sharing some concluding thoughts, I'd like to turn a few minutes over to Kimo Esplin, our Chief Financial Officer.
J. Kimo Esplin: Thanks, Peter. Let's go to Slide 8. In the first quarter 2013, our adjusted EBITDA decreased $187 million to $220 million from $407 million in the prior year. $141 million of this change was attributable to our Pigments division, which is going through an industry-wide business cycle. In the first quarter of 2013, our Performance Products business completed some planned maintenance, the impact of which was approximately $55 million. In the first quarter of 2012, our PO/MTBE business benefited by approximately $60 million from the industry supply outages. Compared to the prior quarter, we saw an increase in volumes, most of which was attributable to an improvement in our sales mix. An increase in average selling prices was offset by an increase in raw materials. Of course, the $55 million impact of our maintenance and performance products more than offset improvements in sales volumes. Turning to Slide 9. Our year-over-year consolidated sales revenue for the first quarter decreased 7%, sales volumes declined 9%, but were significantly impacted by the planned maintenance in our Performance Products division. Excluding our Performance Products division, the sales volume decline would have been 6%. Regionally, our sales revenue increased 7% in our Asia Pacific region. Sales revenues decreased on other regions of the world, but our North American region was impacted by the maintenance in performance products. Our Polyurethanes business is our largest and made up 43% of our total revenue in the first quarter. This revenue decreased 3%. However, the comparison is skewed by the higher selling prices we enjoyed in the prior year as a result of industry supply outages in PO/MTBE. Revenues for our MDI urethanes improved 6%. Compared to the prior quarter, sales revenues increased 3%, primarily as a result of higher average selling prices in response to higher raw material costs. In addition, we saw modest improvement in our sales mix. We saw growth in the North American and European regions primarily as a result of improved average selling prices. Sales revenues improved in our Pigments business as a result of a 27% increase in sales volume, whereas an improvement in MDI urethanes was primarily the result of higher average selling prices. Slide 10. At the end of the quarter, we had approximately $832 million of cash and unused borrowing capacity. Our board declared a dividend of $0.125 per share payable on March 29 to shareholders of record on March 15. This represents an increase of $0.025 per share from the previous rate. This is the first change since we began paying a dividend in 2007 and it comes after having completed 2 successive record earnings years. During the first quarter, we extended the maturity of our debt at attractive interest rates. Yesterday, we completed an amendment to our accounts receivable securitization program that extends the maturity, reduces the borrowing rate and increases the availability under these low-cost programs. Reducing our debt remains a priority of our management team and our board. Some of the debt that we have refinanced was originally booked at a discount to face amount because it was issued to us at below-market rates. As a result, as we have refinanced this debt, we recognize the difference between recorded and face value of the notes. In the last 2 quarters, we have recognized an increase in the recorded value of our debt of approximately $100 million. Our current net debt to the last 12 months adjusted EBITDA is 2.8x. Our target is to have a sustainable net debt leverage ratio of 2x to 2.5x. We spent $89 million on capital expenditures in the first quarter. In 2013, we expect to spend approximately $450 million on capital expenditures, which approximates our annual depreciation and amortization. I'll now turn it back to Peter.
Peter R. Huntsman: Thank you, Kimo. We started off the first quarter of 2013 with strong earnings from our core Polyurethanes division and continued margin expansion from our amines and Performance Products divisions. In fact, if we pro forma the $55 million loss attributed to our planned maintenance shutdown, we would have had one of the strongest first quarters in our Performance Products division we've ever experienced. Throughout the year, we will see the impact of our cost to restructuring projects in our Textile Effects and Advanced Materials divisions. Despite poor industry conditions, we continue to fully expect these divisions to improve over their previous years' performance. Additionally, we expect the MDI side of our Polyurethanes division to continue to show strong earnings growth over the previous year. While our Performance Products group was delayed in our restart from our recent maintenance work, improving market conditions give me reason to believe that we should more than make up the $55 million of cost in the first quarter and finish the year equal to or even slightly ahead of last year. There have been a number of stories speculating about what we may be doing with our Pigments division. We've stated in the past that we want to be part of any consolidations in this industry that create long-term value. Huntsman continues to explore various options that may be a benefit to our overall business. I am encouraged by the improving market fundamentals of demand and lowering inventories that we see in our TiO2 business. For obvious reasons, we will not be commenting on speculative questions regarding our Pigments business. In closing, last quarter, we made some forecasts that with the exception of our Pigments division, all of our other divisions will be doing equal to or better than 2012 in spite of a sluggish global economy. I continue to support this forecast. Regarding TiO2, we continue to see signs of improvement with better demand and lower inventories. I believe that we will see a real turn around by year end and throughout 2014. With that, I'll turn the call back over to Kurt.
Kurt D. Ogden: Thank you, Peter. Moncy, that concludes our prepared remarks. Would you explain the procedure for questions and answers and then open then line for questions?
Operator: [Operator Instructions] We have our first question in the queue from the line of Peter James Juvekar from Citi.
P. J. Juvekar - Citigroup Inc, Research Division: Can you talk about your operating cash flow which was down from last year? And I know TiO2 earnings are down, but what else is impacting cash flow?
J. Kimo Esplin: I didn't know P.J. was for Peter James, P.J. That's nice to know. Well, we have some working capital headwind. And that is, we've improved our inventory days but we need to still bring our inventory down on a relative basis, Peter, I think -- or P.J. We'll be at a peak in the first quarter and it will come down the rest of the year in terms of days. But we saw some increased revenues in the first quarter and that built our receivables. The other bits of operating cash flow were a big turnaround spend. We had roughly $58 million worth of cost on the turnaround plus the $55 million of lost revenues and -- or lost EBITDA. So really, when you think about the cost of that turnaround in the first quarter, it was closer to $110 million. So really, I guess the unique thing in the first quarter in terms of operating cash flow was that number in the turnaround.
P. J. Juvekar - Citigroup Inc, Research Division: Okay. And can you update us on your ore contracts? And what sort of ore inventory do you have on hand? And did you stockpile any ore before year end? And just related to that, I think last year, you were trying to convert one of your facilities to utilize more ilmenite ore, so if you'd just give us an update on that.
Peter R. Huntsman: I think that most of our ore prices that we're seeing right now, of course the majority of ore that we're buying is ilmenite and that price has stayed pretty stable. We did pre-buy last year some ores that were the rutile grades and some of the slag grades, but we haven't been stockpiling that since -- those products since the first of the year.
J. Kimo Esplin: So P.J., the big contracts that we have in slag, while there's -- I think there's one contract that expires at the end of 2013, that the big contract expired at the end of 2012. And we think those slag raw materials or inventory will last us through into the third quarter of 2013. And that should benefit us in 2013, again through roughly the first 3 quarters, by about $60 million.
P. J. Juvekar - Citigroup Inc, Research Division: And anything on your conversion of your Italian client to flex down into more ilmenite?
J. Kimo Esplin: Yes, that is a sulfate slag plant and we are increasing its flexibility, so that it can consume up to 60% ilmenite. And that should be well on its way by the first part of 2014 in terms of its ability to use those grades.
Operator: We have the next question from the line of Kevin McCarthy from Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Just a follow-up on TiO2. I think you had commented that you'd be looking at EBITDA at or above $200 million in 2014. Is that correct, first of all; and second of all, would you need additional selling price increases in order to achieve that level of profitability?
Peter R. Huntsman: Yes, we would need additional selling prices to achieve that level of profitability. And we believe that in -- that we will see price increases that will start taking firmer traction throughout the second half of the year. And we believe that in 2014, that we should be running at an annualized run rate of $200 million, thereabouts, which we consider to be a normalized run rate. Now we will have to see some price increases take place in order to achieve that.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then second question, I guess on a different topic. You referenced the force majeure at Rotterdam. I saw, I guess it was late last week, one of your competitors had declared force majeure on rail shipments of PO and they cited a strike action on the rail freight providers. Is that the issue in your case? And if so, has that strike been resolved?
Peter R. Huntsman: I'm unfamiliar with the strike. Our issue is that the port of Rotterdam -- because all of these major facilities there are so interconnected, usually every a couple of years there will be a massive turnaround project where you'll have multiple facilities. These aren't just Huntsman facilities but also owned by other chemical company's as well. Where utilities will shut down, the power plants will shut down, ethylene manufacturing, our basic raw materials, will shut down and so forth. So we can't come up fully until of our raw material suppliers are up and running. Most all of them are now up and running. Our facility is capable of returning to flow rates as soon as we're able to receive the -- our full slate of raw material products. We believe that, that is in the process of correcting itself as we speak. And that will be resolved here in the coming week or 2.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Last question, if I may. In Polyurethanes segment, you indicated a year-over-year volume decline of 8%. Would you provide some color on how that might have broken out between MDI and MTBE?
Peter R. Huntsman: MTBE dropped quite a bit in its volume during that time frame. And that was roughly because of a timing of shipments from a year previous. And so as we look across the board in polyurethanes, we saw our PO/MTBE drop year-over-year by about 13%. Again, that was -- our manufacture -- our production rates were about equal during those 2 time periods, but it was a timing issue on shipments of last year. We had some fourth quarter shipments last year that went into first quarter last year, which made last year look particularly strong on shipments. So I think that that's -- that drop in demand is mostly around the area of MTBE. Around polyurethanes, we saw basically the markets were flat. In overall demand, we saw Asia was up, Europe -- or U.S. was up and Europe was down.
J. Kimo Esplin: Just to add to that, by that way, again, in terms of urethanes, revenues were up 6% year-over-year if you just take PO/MTBE fees.
Peter R. Huntsman: And my comments were around volume.
Operator: We have the next question from the line of Ivan Marcuse from KeyBanc Capital Markets.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Real quick, how much cost savings were in total hit the first quarter on a year-over-year basis or is the benefit?
J. Kimo Esplin: Well, of the roughly $200 million of cost reduction initiatives that we have, we had roughly $25 million of benefit in the quarter from off of that $200 million initiative.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Great. So roughly $13 million was in the textile space, and then the rest spread out to the other segments?
J. Kimo Esplin: Yes. Yes, I mean in the other segments, I think that was pretty well evenly split between polyurethanes and Advanced Materials.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Great. And then how much were -- was the earnings change in the PO/MTBE business on a year-over-year basis?
J. Kimo Esplin: I'm sorry, what's the question again?
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: How much did PO -- or how much did the MTBE business contribute to EBITDA in the quarter, or what was the change on a year-over-year? Whichever you think is easier.
J. Kimo Esplin: Well, we don't break that out. But it was -- again, because it was pretty well flat year-over-year, urethanes offset obviously the amount of PO/MTBE that was down year-over-year.
Operator: We have the next question from the line of Andy Cash from Robinson Humphrey.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: I'd just like to go back P.J.'s question about the cash flow. If you look at the end of last year, you guys generated cash from operations of about $7.74. If you're just building a bridge for the year, obviously, net income, change in net income, would be what it's going to be and D&A looks pretty stable. So could you look at -- outlook on the change of working capital with inventories up this year. I mean, are they going to come back down? I mean, how do you expect working capital to change over the course of the year?
J. Kimo Esplin: Well, we think working capital will be a source of cash this year. Obviously, it wasn't in the first quarter, consuming about $80 million. But again, as I mentioned, as we think about inventory, it really is at a peak in the first quarter. It's higher than it was last year in terms of relative days. And we see that coming off and generating cash flow. We do have some seasonality in the business and we do typically see a build in receivables about this time of the year as well. So again, unlike last year, we think that the full year will be a source of cash if crude oil and other carbon-based raw materials behave themselves.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And just a follow-on. Any other things such as pension or any other obligations might come cash -- have an impact on cash from operations this year?
J. Kimo Esplin: No. We mentioned this pension expense issue, just a change in the discount rate, increased our obligation by almost $600 million. And the methodology that we use in pension, amortize that over the average life of the employee, which is about 15 years. But that, in the P&L, increases pension expense by about $40 million. And that's what we're excluding from adjusted earnings.
Operator: Next question is from the line of Robert Koort from Goldman Sachs.
Robert Koort - Goldman Sachs Group Inc., Research Division: Peter, I want to dive in a little more on TiO2 and get a sense from you where your inventories stand today, what your operating rate levels are. And then I think you and a few others in the industry have expressed some confidence of getting some sequential improvement as the year unfolds. And I was wondering if you could speak to what the typical buying patterns of your customers are? I get the sense, at least on the paint side of things, they don't buy as much in the second half seasonally. And I'm just wondering if that's going to create somewhat of a headwind to getting the pricing cycle going again?
Peter R. Huntsman: We believe, Bob, that the operating rates today as an industry -- and again, this will vary because we don't have the exact numbers as an industry. The industry is operating today at around 80% capacity. And that's up from where we've been the last couple of quarters, which were in the low to mid-70s. As I look at the past quarter, volumetrically, we finished the first quarter with as high a volume in sales that we've seen over the last 12 months. So volumetrically from March, we finished out the volume. Directionally, we're heading in a strong direction. So as I said in the past, we need a couple of things in order to get pricing to be able to stick in this industry. We need volumes to be able to recover and we need pricing to stop falling. So as we look at pricing during the first quarter, we saw a little bit of erosion that took place throughout the quarter. But by and large, we started seeing for the first time prices, gradually in certain areas for certain customers, start to increase as we moved into the second quarter. Again, I want to be clear as we move into the second quarter, without full industry support in pricing, I believe that second quarter's going to look very similar to the first quarter on a contribution margin basis. We're going to continue to see pricing come down a little bit in the second quarter, but I think that we're going to see volumes make up for that lower pricing. And so we ought to see contributions margin stay about flat in the second quarter. If we continue to see the days of inventory drop as we've seen from the fourth quarter moving into the first quarter, I believe that, again, with the destocking that I believe is largely completed, the improvement in demand that we're seeing on a global basis and the opportunity to raise prices before us, it gives me reason to believe that the second half is certainly going to be stronger than the first half of the year.
Robert Koort - Goldman Sachs Group Inc., Research Division: On a separate note, I know last year during your investor day, you spoke to the benefits of having some North American exposure to the shale gas revolution. I wonder if you could sort of calibrate as we look forward, have you fully exploited that? Or is there some more opportunity still in front of you?
Peter R. Huntsman: I think in our current production that we have fully exploited that. But as you know, we've announced we are expanding our ethylene oxide capabilities. We'll be expanding our ethylene capabilities. And as we expand this, I see more and more of our global production, particularly in Performance Products, that we'll be able to benefit from this lower-cost shale. So I would hope that, that would -- as we look at our amine sales and some of our surfactants and glyco sales around the world, that's going to benefit. Even though the sales will be taking place globally, that will benefit from a North American supply basis that's able to take advantage of the low-cost gas. We also have announced an expansion of our MDI capacity at our Geismar, Louisiana facility up to 500,000 metric tons of capacity. And obviously the new tonnage in -- excuse me, in MDI, in polyurethanes, will be able to benefit from the gas advantage. And also from the byproduct advantage. Again, we're not just able to get in North America in the area of polyurethanes benefit by -- from our raw material cost, we're also able to get a benefit from some of our byproducts that are coming out of our MDI process. And we're actually able to sell in the frac-ing and into the energy industry, which we're not able to do in other parts of the world. So as I look in those 2 biggest value drivers, if you will, polyurethanes and performance products, I believe that we have exploited as much as we can in our existing platform. But again as you look at MDI, we're expanding our MDI capacities with the performance products, we're expanding the natural gas and ethane consuming ends of those products which will give us a greater opportunity to export those products globally.
Robert Koort - Goldman Sachs Group Inc., Research Division: And would you consider investment or coinvestment in a methanol plant?
Peter R. Huntsman: That is something that we continue to review. We're one of the largest consumers of methanol. And obviously, if the right opportunity where to avail itself, that is an area that -- where we would have an interest in exploring opportunities, I think we'd create real value. Our consumption today of methanol would account for -- well, depending on what you would categorize as a world scale facility, anywhere from 1/2 to 3/4 of the capacity for a worldscale facility. So I don't want to get ahead of myself, but that's an area that I would hope that we would be able to take advantage of in the next year or so in methanol production.
Operator: Next question is from the line of John Roberts [ph] from UBS.
Unknown Analyst: This is a question for either Peter or Jon, Sr. But you guys have seen a lot of cycles in a lot of chemicals and I'm curious on how you see that this TiO2 cycle is different from your history because the marketplace is speculating on you being a dis-investor with the cycle down when your history has been you time the cycle very well in the past. And it seems a little inconsistent to me.
Peter R. Huntsman: Well, I think that as we look at the cyclicality of the TiO2 industry, I think that the industry -- I'll speak for myself here, I think that I was taken by the fact that within a 4-quarter period, you literally saw the highest quarter in -- virtually in the history of the product. And within 4 quarters, you saw one of the lowest quarters in the history of that product. I've seen the styrenics and the olefins and -- polyolefins and so forth and I've never seen one where you literally peaked and hit a valley all within the same year, from the first quarter to the fourth quarter of last year. In spite of that, I think that you need to have a longer-term approach. TiO2 is going to be a product that will come back as the U.S. housing comes back. There was obviously a lot of panic buying that took place 2 years ago where some of our paint customers were -- prebought as much as 6 to 9 months of inventory in some cases. And I think that as those inventories have diminished, TiO2 will get back to as normalized run rate, what we believe to be around $200 million. That's not to say that it's not going to have some peaks and valleys, but as I've long maintained, I think it's going to stabilize here going forward. And as I've said in past calls, we certainly want to be part of, and we believe that there's room for industry consolidation for a company to take advantage of synergies and so forth that could come about through this consolidation. And frankly, we continue to work towards being part of an objective that is going to create value longer term for Huntsman.
Unknown Analyst: And then secondly, could you maybe give us a little color on the rate of sequential products on textile effects? We didn't see a lot sequentially here. Does it turn positive in the coming quarter and then continue to improve through the year?
Peter R. Huntsman: I believe that textile effects will be profitable in 2013. That means in the second quarter, we better start making money in the second and certainly in the third quarter. It's too early. I'm not here to speculate what we're going to be in the second quarter, but I'd be disappointed if we didn't make money in the second quarter.
Operator: Next question is from the line of Mike Ritzenthaler from Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: In the amines business, can you elaborate a little bit more about the end market dynamics that are helping price increases stick? And can you please compare the 1Q results in the qualitative outlook that you provided in your prepared comments versus the previous high watermarks for that business?
Peter R. Huntsman: Well, I'm going to let Kimo take the second half of that question because I don't have the data in front of me. I will say on the first half of that question, there's a lot of downstream curing applications that -- where we continue to benefit. We continue to benefit in our crop protection end of the business for amines. That's used quite heavily in crop protection. It's used quite heavily in the energy enhanced oil recovery, an area we continue to benefit from that. Europe continues to be a rather stagnant market for us in that area, but Asia and North America, typically North America, continue to be strong markets for us. Maleic anhydride, which is not an amine, but it's a product that we have in our amines. We've run it under our amines umbrella of operations. That obviously is benefiting from the increase in demand we're seeing in both the housing market and the decrease we're seeing in the raw materials, principally in butane. So as I look across the board there, amines is used literally in thousands of end-use applications. And many of the major applications that deal with housing, that deal with construction materials, crop protection and energy, those would be the 3 largest areas just off the top of my head where we're seeing benefit.
J. Kimo Esplin: In terms of sequential earnings, if you look at sort of our amines group and maleic anhydride, fourth quarter to first quarter, we doubled our profitability in amines and maleic. Again, it was both in ehtyleneamines, Polyetheramines and some of other specialty amines and in maleic anhydride doubling sequentially. So that gives us that optimism, notwithstanding a tough quarter because of the turnaround going into the year, that amines are going to carry us through.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Okay. Interesting. And I just have a follow-up on polyurethanes, on the MDI operating rates. And is that business kind of hitting your qualitative for the rest of the year, is it predicated on seeing operating rates in the low 90s as we head into the back half?
Peter R. Huntsman: I think that we believe that the operating rates or rises in the very high 80%, probably in some regions of the world, pushing that 90%. I think that throughout the year, it's obviously going to tighten a little bit, as the markets continue to expand in North America, expand in Asia and probably be flat to probably contracting in Europe a bit. But I think globally, we'll continue to see expansion of demand increase new capacity coming into the market. So I would say by the end of the year, you'll be more firmly on the 90%, 91% capacity utilization, where today you're probably in the high 80s. But I think that as we look at the business improvement throughout the year, I think that's not going to be a pop as much as it's going to be just gradual improvement in pricing and in demand and executing a game plan that moves our MDI product further downstream into a greater number of variants. And this is something that we don't talk about a great deal, but as you look at our recent expansion in our Rosenberg facility, our Rotterdam plant in the Netherlands, we spend a lot of money there to be able to take MDI that we are already producing and to push that product further downstream into variance. And if you noticed this last year, we saw demand growth in Russia, in Turkey, Eastern Europe, parts of Northern Europe. And a lot of that growth is taking place because we're taking MDI, we're making a wider variety of grades with that MDI and we're selling it into a wider market. And so I believe that as we continue to push that, we're going to see a higher quality business develop from that. And I hope, longer-term, take some of the cyclicality out of MDI.
Operator: Next question is from the line of Laurence Alexander from Jefferies Capital.
Laurence Alexander - Jefferies & Company, Inc., Research Division: First of all, on MTBE, you said previously that you thought it might be about an $19 million headwind year-over-year this year. Given feedstock dynamics, do you think that might be excessive and you can do better than that?
Peter R. Huntsman: I would think that as we look in the first quarter, we certainly didn't do as well in the first quarter as we did last year, but because of falling raw material prices we didn't do as poorly as we had anticipated. So I would hope that -- from what we've seen thus far in MTBE, we're doing better than what we had anticipated. Now I would just strike a note of caution in that part of MTBE's margin comes about because of the difference between North American gas and we're taking our raw materials in North America, which are largely based on a gas byproduct, butane, which we make into isobutane, which is a raw material for our PO/MTBE and also methanol, which obviously is a byproduct of methane. So we're taking a low-cost gas pricing field and we're making a product that is competing with Brent C oil. Now as Brent C oil goes down throughout the year and in natural gas prices which they have recently increased during the first quarter but it appears that they're coming back down now, there's also that spread in there. So while I think that early in the year we're doing better than anticipated, I'm not trying to sound negative throughout the rest of the year, I guess what I'm saying is there's a lot of variables on MTBE margins that I certainly wouldn't want to speculate. I think it's going to continue to be a great product for us. And if we can do what we did last year, minus that $90 million, maybe it's closer to $70 million now, I think we will have a very good year.
Laurence Alexander - Jefferies & Company, Inc., Research Division: And secondly on the growth CapEx. I mean, you're running at about $300 million annual growth CapEx run rate. How much of the tailwind will the project that you're doing give you in 2014 and then as you look out into 2015? Do any have rough sense for that?
J. Kimo Esplin: A lot of these projects, Laurence, are sort of 18 months, 2 years, some of them even longer than that. But when you think about expansion at MDI in the Gulf Coast of Texas, when you think about some of the projects we have in TiO2 given this greater flexibilities -- flexibility in ores. And the shutdown of Basel textile facility and increasing capacity in places like Thailand and India. Most of all of those projects really come on in 2014 sometime. There's very few of those that sort of are completed by the end of 2013. So you should see some benefit, a lot of benefit, towards the end of 2014.
Laurence Alexander - Jefferies & Company, Inc., Research Division: And as you think about the 2015 benefit, I mean, do you have a rough bogey that you're aiming for as a floor?
J. Kimo Esplin: In terms of returns, all of these projects have greater than 20% unleveraged IRRs, probably average closer to 25% unleveraged IRRs. If that gives you any sense in terms of EBITDA capacity.
Operator: Next question is from the line of Ahmed -- sorry, bear with me. Hassan Ahmed from Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors: Listen, quick question around the polyurethane side of things. Obviously, as I take a look at some of the data that's out there, industry consultant data, they are talking about some incremental capacity coming online over the next couple of years. But as I look at who is bringing online that capacity, you have some new entrants like Seddek, possibly you could even call Sadara a new entrant. I mean, what's your view in terms of the timeliness of the arrival of this capacity?
Peter R. Huntsman: Well, it's tough to speculate, Hassan, because there just isn't a lot of information in the industry. Typically, you'll start to see a year or 2 before people bring capacity on, you'll start to see product that is going into the market. Now how does a new plant have product that goes into the market? Well sometimes, if we have new capacity coming on in Asia, for instance, before we started even having production in Asia, we went to Asian producers and we purchased product for resell. We started exporting product from the U.S. and you started feeding the Asian market, so that when you came up with a plant you weren't just starting from 0. I'm not seeing a lot of those preliminary signs that you typically would see if somebody is coming on in the next year or so. I would also just note that in a lot of these large projects, where you see an MDI plant that's built with a number of other facilities around it, and that would include some of these projects going on in China, some of them going on in the Middle East, typically -- and I would go back to the comments that I said earlier around the Rotterdam facility. Our facility, our MDI plant in Rotterdam, can't run unless everybody else around it is running in unison. This is not like a polypropylene plant where my propylene unit is not working, I can buy propylene and just keep running the plan. In the cases of a Middle East facility or a Chinese facility that's not part of a larger chemical complex, you've got to build that entire complex out before you start up the MDI plant. So as I look at some of these predictions, and so some of these large facilities coming on in China or the Middle East, and it shows them coming on in the next 12 to 18 months, I'm simply not seeing the market behavior that would tell me that, that's coming into the market, nor am I -- again, that is just anecdotal now -- am I seeing the construction of the other facilities that are coming into the marketplace on a timely basis but for some of these facilities to come into the market. Now will they be built? Absolutely. But I think that when you look at the timing of these things coming into the market, you push some of these projects 12 to 18 months back -- and mind you, when a new MDI plant starts up, it typical takes 6 to 9 months just to get that plant up and running and producing a capacity. If you start pushing some of these larger facilities out, 9, 12, 18 months, you really see capacity utilization rates really don't get much below 90% in 2016, 2017. Now forgive me, I know I've said a lot here but a lot of people are judging our company in its future performance on what will be happening literarily 3 years from now, 3 to 4 years from now. And I just don't think that there's enough visibility in the market at this point to say that all of that capacity is coming on, on a timely basis, it's all going to hit the market exactly the same time, and thus depress prices, as some people have speculated.
Bill Hoffman: I got it. Follow-up, if I may, on the TiO2 side of things. I know you're talked about exploring options and you don't want to discuss that on the call. But if you were to, say, sell the TiO2 business, or any other business for that matter, in terms of priorities to use any cash proceeds, would debt pay down be front and center or high up there?
Peter R. Huntsman: Well, immediately our priority -- and I'm speaking on behalf of the board, so I'm going to be very careful here -- but I would say that our immediate priority would be to strengthen our balance sheet and so forth. But you've also got a genetic mutation that exists, perhaps, within the Huntsman's family that I don't think that you're going to see a business shrink for very long. And so I think that if we were to all of a sudden have a large cash infusion because we were able to sell or spin or merge or do something with some asset, I think that we'd also have an eye out for opportunities to create further shareholder value. And that's not to say that we want to go out and re-lever our balance sheet and anything like that. But I think it is to say that as we look out over the next couple of years, we want to maintain a strong balance sheet, we want to maintain cash. But at the same time, I think that we're anxious to see what opportunities are out there.
Operator: Next question is from the line of Frank Mitsch from Wells Fargo Securities.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: This is Sabina Chatterjee in for Frank. Peter, just bigger picture here and sort of touching on some of your previous answers. If I look back to the guidance you gave during Q4 report, there actually isn't much that's different relative to what you shared today. Maybe despite the force majeure impact. And I realize it's only 10 weeks later, but could you comment on what, if anything, has materially changed, maybe by end market or region, in what's underlying your outlook?
Peter R. Huntsman: I'm not sure that there's a great deal that's changed, I think, from where we were just a few months ago. I think that perhaps there are greater storm clouds over Europe than what I would have thought a month or 2 ago. But having said that, I think that what we're seeing in the United States economy and, frankly, what we continued to see in Asia, I'm not saying that Asia is -- China is just on fire, but our business in Asia just feels like it's better than a lot of what I'm reading, people talking about a slow down and so forth. We continue in the areas of our means, our downstream, differentiated chemicals and so forth, building materials, automotives, not just in China but in Southeast Asia as well. We continue, even in textiles and in some of the advanced materials applications, we continue to see strong markets in Asia. And so I think that I'd probably see a little bit larger storm clouds in Europe, but I think North America, I think Asia, I think even parts of Latin America are better than where they were a few months ago. And as I look at raw material costing, I think that raw material prices are probably going to be in downward pressure, if I look at Brent and so forth, I think that oil has taken a drop in the last month or so, which means that our raw materials may be falling, which means I think we have an opportunity, perhaps, in the short-term, hopefully, to expand the margins. So I think you take all of that, give-and-take, and it sounds like it's the same forecast, but I guess since I spoke last we had an additional $10 million hit that I wasn't expecting, we weren't expecting on performance products. And as I said this morning, I think that we can make up that $10 million throughout the year in higher margins.
Sabina Chatterjee: Yes. And actually my follow up was on raws. It actually looks like benzene is likely to increase further. And obviously now gas has climbed considerably in the past few months. So what is supporting -- you mentioned the Brent, but can you give us maybe a little more detail on your outlook for raws, maybe the potential impact and how, if any way, contracts could provide you some insulation?
Peter R. Huntsman: Well, we -- I think with raw materials, we look at our largest raw materials on benzene. Benzene prices fell from the fourth quarter on average, coming down in the first quarter, we saw prices in the fourth quarter, actually, were about $4.75, in the first quarter, averaged about $5. In the second quarter, we're actually going to see them come down just a little bit because, mind you, there's about a 60- to 90-day delay in when we buy benzene to when we actually process that benzene. So I think benzene, with crude oil prices coming down and so forth, I know that is seems like it's ticking up right now today. But I think longer-term, benzene prices ought to stabilize, perhaps even come down just a little bit. Natural gas prices, I think typically this time of year, we've had an extremely late winter in North America and Europe, I think natural gas prices probably will be under some downward pressure here, with crude prices come down with winter finally ending here. But again, that's just -- I'm an optimist when it comes to these sort of things.
Operator: The next question is from the line of Jeff Zekauskas from JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Your -- the expense that you're excluding for your -- the amortization of pension and postretirement losses was $19 million in first quarter of '13 versus, I think, $11 million in the first quarter of '12. Why is it so large versus last year's loss? And that your pension liability went up but it didn't go up -- but it didn't double. And does this mean that the amounts that you plan to exclude in the coming 3 quarters are much less than $19 million, or is $19 million the run rate? Where does that stand?
J. Kimo Esplin: Sure. Thanks, Jeff. So the change in the discount rate or the actuarial assumptions increased the obligation, Jeff, by just about $600 million. And you amortize that over 15 years roughly. It's an increase of $40 million over 2012. So the difference between the $19 million and the $10 million from last year is what we will show in the remaining quarters of this year. So roughly $40 million for the year or $10 million increase each quarter. Does that make sense?
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Yes, it does. And then secondly, in just listening to your commentary about MTBE, basically, did you think that the adverse change year-over-year, did you use to think that it was $90 million and now you think it's $60 million? Is that, basically, what's happened either because of lower butane prices or because of some other factor?
J. Kimo Esplin: Yes, I mean, Jeff, if I take a snapshot right now today, that's what I believe. I believe in the first quarter, instead of seeing a deficit of $60 million, we saw something substantially less than that because of lower butane prices that we were able to take advantage of. And C factors were slightly higher. But again, as I look going forward, I think that there is a -- I continue to be optimistic about MTBE, but I'd say that our expectation compared to the last year is that it's probably going to be a smaller gap in the $90 million that we talked about earlier.
Operator: Ladies and gentlemen, that's all the time we have for questions today. Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good day. Thank you.